Operator: Good afternoon and welcome to the Localiza and Co Webinar regarding the results of the Fourth Quarter and the year 2024. With us today are Bruno Lasansky, our CEO; Rodrigo Tavares, CFO; and Nora Lanari, Director of Investor Relations of the company. We would like to inform you that this webinar is being recorded and will be made available at ri.localiza.com where you can find the complete disclosure of results materials. This presentation is also available for download on our RI website. For the Q&A session for analysts and investors, we kindly ask you to indicate your interest in participating through this Q&A icon on the bottom of your screens by typing your name and institution and language. When called upon, a request to activate your microphone will appear on the screen. To submit questions in writing, please use the Q&A icon at the bottom of your screen and fill in your name, institution before the question. Please note that the values of this presentation are in millions of BRL and information herein and any forward making statements that may be made during the video conference regarding Localiza's business outlook, projections and operational and financial targets constitute beliefs and assumptions of the company's management as well as information currently available. Future considerations are not performance guarantees. They involve risks, uncertainties and assumptions as they refer to future events and therefore depend on circumstances that may or may not occur. Now I will hand the floor to Bruno Lasansky, the company's CEO to begin the presentation.
Bruno Sebastian Lasansky: Good afternoon. In 2024, we redoubled our focus on executing the company's strategic priorities and throughout the second half of the year, we began to see consistent results from our initiative. The year was marked by revenue growth in all of the company's divisions with 17% in car rentals, 25% in fleet management and 37% in seminovos. In car rental, we continue the process of price adjustment, which increased by 15.4% in the year. And in the last quarter, at R$147 million, reflecting the strength of the brand and commercial excellence of Localiza. In fleet rental, we focused the capital allocation on higher return segments. Thus, we reduced the heavy use fleet by around 25% and improved the global fleet utilization. We highlight that, excluding trucks and heavy use of vehicles, the net revenue in 2024 grew 30% with the volume of daily rentals growing 13% year-over-year. On the operations front, we expanded our network of decommissioning centers to 13 units, increasing the speed, quality and management of the preparation process, which contributed to improving the channel mix. Seminovos doubled the volume of cars sold in only two years. During the year, we expanded the store network and increased productivity per store. 280,000 cars were sold, which contributed to reducing the average age of the car sold in the Car Rental division from 28 to 23 months. As a result, in this year, we presented consolidated net revenue of R$37.3 billion, EBITDA of R$11.9 billion and net income of R$1.8 billion with a ROIC spread of 3.1 percentage points, evolving to a spread of 5 percentage points in the second half of 2024. In addition, the year was marked by increased cash generation from car rentals, contributing to the reduction of our leverage ratios even with the increase of payment of interest on equity and the repurchase of the company's shares during the year. We continue to improve our customer experience. For example, we doubled the number of 100% digital pickup. During the year, launched the new Localiza mail app with unique features on the market and transform the delivery and return journey in fleet rental, all of which contributed to an excellent NPS and a differential in July. In addition, Localiza was recognized once again as one of the 15 best companies to work for by Great Place to Work. In terms of technology, we completed the ERP update, as well as the migration of 100% of our applications to the cloud, contributing to greater agility, efficiency and performance of our technology environment. In 2025, we are facing a scenario of rising interest rates, and potential slowdown in economic activity and reduced credit availability. In this context, we have defined five priorities for the year. First, scaling up of Seminovos to renew the fleet. Two, reestablishing rental prices, prioritizing revenue growth and ROIC spread. Three, efficiency and cost and productivity, fourth, optimization of the segment portfolio, focusing on more profitable segments. Five, improving the experience of our customers to increase even more the differentiation of delight. And sixth, concluding the process of systemic integration and corporate simplification. These initiatives are crucial for the gradual recovery of profitability levels. We are confident that we will emerge from the current cycle by further expanding our market leadership, competitive advantages and resuming our growth trajectory with value creation. To present the highlights of the year and this quarter, I will now hand over to our CFO, Rodrigo Tavares.
Rodrigo Tavares Goncalves de Sousa: Thank you, Bruno, and good afternoon, everyone. On Page 2 are the highlights of the quarter. We maintained solid results driven by robust revenue growth in car rental, fleet rental and Seminovos combined with efficient cost management. The Car Rental division reported revenue of R$2.6 billion for the quarter, a 13% growth year-over-year. In Fleet Rental, we continued the portfolio optimization process, which will contribute to the recomposition of our ROIC spread. Net revenue totaled R$2.2 billion, a 16% growth year-over-year. In Seminovos, we expanded our network with the opening of 123 sales point throughout the fourth quarter '24, strengthening our market presence and driving a gradual fleet renewal process in 2025. Net revenue from Seminovos achieved R$5.1 billion in the quarter, a 35.3% increase year-over-year. The gradual fleet rejuvenation will continue to contribute to the improvement of the sales channel mix positively impacting the average price of cars sold over the year. Consolidated net revenue grew by 24.6% to R$9.9 billion. EBITDA increased by 15% to R$3.3 billion, and profit reached R$837 million in this quarter. Now to present the details of our quarterly results, I will hand over to our Investor Relations Director, Nora Lanari.
Nora Lanari: Thank you, Rodrigo, and good afternoon. Going into the details of the results on Page 3. We start with the Car Rental division in Brazil. And 4Q, '24, the net revenue for Car Rental division achieved R$2.6 billion, a 13% increase year-over-year. Due to the increase in the average daily rate compared to 4Q '23 volumes adjusted by 2.9% due to the strong comparison base and prioritization of price recomposition, compared to the 3Q '24 volumes advanced by 1.4%. In 2024, revenue grew by 16.4% year-over-year, totaling R$9.6 billion with stable daily rental volumes for the year and acceleration in the average rate recomposition, which advanced by 15.4% over the year. On Page 4, we present another quarter of average daily rate advancements, which added the year at R$147.4 million. a 16.3% increase year-over-year. The utilization rate remains at a healthy level of 79% for the quarter, reflecting price and mix management. Moving to Page 5, we see the evolution of the Car Rental branches network. We ended the year with 537 own agencies in addition to 18 branches in Mexico and 151 franchises totaling 706 service points in Latin America. On Page 6, in Fleet Rental division. Volumes and prices continued to rise in 4Q '24, resulted in net revenue of R$2.2 billion, a 16.4% increase compared year-over-year. In 2024, there was a 10% increase in volume, 25.1% increase in revenue for this division compared year-over-year. Excluding the effects of reduction of heavy use contract portfolio, net revenue would have advanced by more than 30% in the year. On Page 7, we present a daily average rate of R$97.7, an 11.3% increase compared year-over-year. Utilization rate increased by 0.5%. In 2024, the average daily rate advanced by 13.7% with a slight reduction of 0.7% of fleet utilization year-over-year due to higher number of reactivated cars resulting from the portfolio optimization process. Moving to Page 8. Revenue of Seminovos achieved R$5.1 billion, a 35.1% increase year-over-year. The volume of cars sold grew by 27%. In 2024, net revenue of Seminovos in Brazil grew by 37.3% year-over-year, totaling R$19.2 billion, with sales volume growing by 26.4% in the year. Acceleration in sales volumes reinforce the company's operational and execution capacity which increased by R$11.7 billion in sales in 2022 to R$19.2 billion in 2024, with productivity gains per store. This is the result of improvements in the car preparation process, adjustments and maturation of the store network and sales team as well as expansion of credit for financing. On Page 9, we have the Seminovos network. In 2024, we expanded a number of stores totaling 27 openings for the year, and in the quarter with 242 sales points, distributed across 118 Brazilian cities. Store openings were concentrated at the end of the year and should contribute to sales volumes throughout 2025. Even with the network expansion, we advanced productivity per store, ending the year with an average 40 cars sold per store per month. 2025, we will maintain our focus on scaling up Seminovos productivity gains, expanding the number of stores, sellers and channels. Moving to Page 10. We show the balance of car purchases and sales. In the fourth quarter '24, we purchased 103,064 and sold 71,750 cars, resulting in a fleet growth of 31,314 cars and a net investment of R$4.1 billion. The sales volume in the quarter was impacted by rising interest rates and fewer business days, which affected demand in December. Even so, we presented a 27% growth in sales volume '24 year-over-year. January and February, we saw an acceleration in sales volume again and reduced car purchases after holiday peak in order to adjust the fleet to seasonal rental demand. On Page 11, we present the average purchase price and sales prices. In the Car Rental division, the average purchase price R$84,000 and the sales price, R$67.7 thousand, resulted in renewal investment of R$16.3 thousand per car. In the year, the average purchase price was R$83.3 thousand, sales price R$66.8 thousand, resulting in a net renewal CapEx of R$16.5 thousand, a reduction of R$3.0 thousand per car compared year-over-year. The gradual advancement in fleet rejuvenation process should contribute to maintaining a renewal CapEx reduction trajectory. In Fleet Rental, the average purchase price was R$96.1 thousand in Q4 '24, the average sales price was R$76.7 thousand resulted in a renewal investment of R$19,4 thousand. In the year, the average purchase price was R$95,000 and sales price, R$72,000 resulting in a net renewal CapEx of R$23,000, a reduction of R$8.5 thousand per car year-over-year. On Page 12, we show the fleet growth at the end of the period. We ended the year with 669,362 cars 21% increase, and 1.2% increase in the car rental division. The increase of the end of period fleet in car rental reflects the opportunity for purchases 4Q '24. After the high season, we expect a reduction in the pace of car purchases. 2025, we will continue to prioritize price adjustment and seek fleet efficiency and productivity. On Page 13 in the quarter, consolidated net revenue advanced 24.6% year-over-year, totaling R$9.9 billion. Rental revenue grew by 14.9%, 13% in Car Rental division and 16.4% in fleet rental division. Seminovos revenue totaled R$5.1 billion in the quarter, a 35.3% increase year-over-year, resulting from a 27% increase in volume and higher average sales price. For the year, consolidated net revenue advanced 29% year-over-year, totaling R$37.3 billion, with strong growth in rental and Seminovos. On Page 14, we present consolidated EBITDA. In 2024, we stopped adjusting margins for business combination, and impairment effects. And in 4Q '23, we began allocating car preparation costs to car rental and fleet rental excluding them from Seminovos, thus, we will only make comparison with 4Q '24, whose bases are comparable. In 4Q '24, the EBITDA margin for car rental division was 65.6%, a 2.9% increase year-over-year. The robust margin in the quarter mainly reflects rental pricing as well as advancement in rejuvenation process and reduction in average mileage of the fleet, resulting in lower maintenance cost per car, partially offset by higher preparation costs explained by a 24.3% increase in the number of cars prepared. In Fleet Rental, the margin was 69.8%, a 1.7 percentage point reduction year-over-year, mainly explained by higher preparation costs due to a 29% increase in the volume of cars prepared and greater deactivation of severe use vehicles. Allowance with bad debt expenses also increased for the quarter, especially in telematics and other initiatives brought 15 million in revenue and R$200,000 of EBITDA, diluting the EBITDA margin of the division by 1.6% in the quarter. Seminovos presented a margin of 2.6%, especially reflecting price adjustment in December. Throughout the quarter '21, '22 and '23 models adjusted in line with historical patterns. On the other hand, we saw a stronger adjustment in 2024 model used cars. In January and February, volumes fed up again. Page 15, we see the evolution of average depreciation per car. For car rental, the average annual depreciation per car was within the range expected for the company in line with 3Q '24 depreciation. For the year, the annualized average depreciation was impacted by the revision of residual value and operational life estimates for the fleet made in 2Q '24, reflect price adjustment for use in Seminovos cars. In rental, the average depreciation was R$8,527 including trucks. The depreciate for light vehicles was R$8,075 within the expected range. In the year, the annual depreciation was impacted by the revision of residual value estimates made in 2Q '24. On Page 16, in December. We saw greater adjustment in the prices for the 2024 model year cars. But in January and February, volumes and price [indiscernible] in line with the company's expectations. Thus, we maintained the 1Q, '25 guide. At the beginning of the year, automakers increased the list prices of new cars. We continue to monitor the impact of these increases are new and Seminovos cars. On Page 17, we see consolidated EBIT for 4Q '24, which achieved R$2.5 billion and 12.5% increase year-over-year. For the year, it was impacted by the adjustment in car depreciation made in 2Q '24 to reflect the widening gap between price of used and new cars. On Page 18, we present a profit of R$837 million, an 18.7% increase year-over-year, reflecting the increase of R$446 million in EBITDA and a reduction of R$8 million in net financial expenses, due to the reduction in the effort CDI for the period and the hedging effects of derivatives linked to fleet rental contracts, partially offset by the increase of R$220 million in depreciation of cars and R$103 million in income tax and social contribution due to higher taxable income and increase in effective IR rate. Now I would like to return to Rodrigo to present cash generation, leverage and ROIC.
Rodrigo Tavares Goncalves de Sousa: On Page 19, we present the fleet cash flow. In 2024, the company generated R$9.8 billion from rental activities, a 37.9% increased year-over-year. That investment for fleet renewal showed significant reduction due to smaller gap between the purchase and sales price of cars. For the year, R$472 million were spent on renewing 280,000 cars, a sharp production compared to R$3 million spent on renewing 221,000 cars in 2023. In addition, the company reduced the net fleet addition, which contributed to R$960 million reduction in net investments for growth compared year-over-year. As a result, the company went from a cash consumption of R$2.9 billion before interest and others, to cash generation of BRL 3.3 billion in 2024. Throughout 2025, we will continue to adjust rental prices to reflect the higher interest rate. Additionally, we will maintain discipline in cost and productivity management, both combined with lower renewal and growth CapEx should continue to contribute to positive cash generation and reduced leverage indicators. On Page 20, we present that evolution. We ended the year with net debt of R$30.1 billion. During the year, R$940 million were paid in interest on equity, net of income tax in addition to repurchasing 8 million of company shares. On Page 21, we present the company's debt profile and cash position. Considering the funding and settlements announced up to February 27th, the cash position totaled R$13.1 billion. The company has been taking advantage of that market opportunities throughout 2024 to reduce cost and extend that debt duration. On Slide 22, we present solid debt ratios. For the year, the higher operation cash generation contributed to the improvement of debt indicators even with the repurchase of company shares and the distribution of interest on equities. On Page 23 is the ROIC spread. We ended 2024 with a ROIC spread of 3.1 percentage points. In 2H, '24, the ROIC reached 5 percentage points, resulting from price recomposition initiatives as well as efficient cost and productivity managed. Now we are available to answer any questions you may have.
Operator: We remind you that for the Q&A. [Operator Instructions]. Our first slide question is from Mr. Alberto Valerio from UBS. Please Mr. Alberto. Please your microphone is free to be open.
Alberto Valerio: Good afternoon Bruno, Nora and Rodrigo. Thank you for taking my question. I want to know about what can we expect going forward. We expect increase -- strong increase in rates, a recomposition of ROIC spread, may be a slowdown of the recomposition in third and fourth quarter, maybe because of the car market in December, that was worse than expected. January, March and February. How do you see the rate recomposition, if it will continue strong. And if you can see Seminovo market a little bit better. I know that the table is not the same that you used, but we had an improvement in January and February compared to November and December last year.
Bruno Sebastian Lasansky: Thanks Alberto. Let me explain your question for Seminovos, and then I'll talk about rental. For Seminovos, what we've seen was, in fact, the last quarter started strong. It settles down in December price and volume. We have less activity in December. And at the beginning of the year, January and February, already going back to normal. We see stability in prices and a volume level, much healthier for the two months of the year when we talk about the Seminovo market. About rental. We continue constituting our profitability, especially now with the change of the macroeconomic scenario and interest rates. But as you've seen, we had a little lower growth in the segment, but we follow the policy of reconstituting our profitability. Thank you. Rodrigo?
Rodrigo Tavares Goncalves de Sousa: Alberto just to answer your question about CPV monitor at the beginning of the year. We saw that the automakers increased their prices, it takes some time for the practice price. So we're waiting because the dealers have old inventory. So we are looking at that at the beginning of the year. On the other hand, we know that this year has more limited credit and affordability is worse than it was in the past.
Alberto Valerio: Thank you, Nora.
Operator: Our next question is from Mr. Gasparete from Itau BBA.
Daniel Gasparete: Good afternoon. Thank you for taking my question. I also have two. I would like to know about the questions about car rental, how you see the demand going into monthly and seasonal, we see the volume suffers a little bit more. And the second question is about your opinion of a trade-off. For this year, like Nora said, a more limited credit if you would choose between aging the fleet or maintain a volume of Seminovos like you have been. I would like to understand the trade-off?
Bruno Sebastian Lasansky: Thank you, Daniel, for your question about the volumes. Clearly, we have priority to reconstitute our profitability, and we've been having that consistently in our prices. It's important to say that we're a relevant part of our customer base and segments, the alternative is to buying a car. Obviously, in either subscription or monthly for app drivers that advance -- the total cost advances when you have an increase of interest rates. So that's the first consideration. About the demand, what we've been seeing is that in general, the segments are resilient. However, we've been seen at the end of the year due to the scenario, some companies are postponing projects or reducing investment projects, which have impacted especially the corporate segments in car rental. So we seeing a robustness in the segment, except a point of attention is corporate because of the scenario, our customers are more cautious. For your second question, I'll pass to Rodrigo.
Rodrigo Tavares Goncalves de Sousa: Thank you Gasparete. Your second question is excellent, because it's a trade-off that the company has to consider, but being very straightforward. We are monitoring and if the credit conditions. It is -- credit is less available, but still at healthy levels. It is more expensive for the consumer, which means smaller version in funding, but still at healthy levels. If we have a stronger credit restriction, the company will probably delay its rejuvenation process instead of a stronger drop in prices. This said, I would like to make clear that we're talking -- we're saying that you delay a little bit the rejuvenation process, but continue to rejuvenate. We don't see any scenario of aging the fleet even with more restrictive credit.
Daniel Gasparete: Perfect, Rodrigo. Thank you. Thank you for your answer. Thank you, good afternoon everyone.
Operator: Our next question is from Mr. Guilherme Mendes from JPMorgan. Mr. Guilherme Mendes, you have the floor.
Guilherme Mendes: Good afternoon Bruno, Rodrigo and Nora. Thank you for taking my questions. I also have two. It's a follow-up about depreciation. I understand that the beginning of the year is in line with expectations and guidance. But going beyond the first quarter, does it make sense to consider that we have this depreciation increasing from the second quarter forward. And on Seminovos that the company mentioned as one of the priorities for the year. What are the main KPIs you're looking at? Activity per store, what are you looking at for the margin of 2025? Thank you.
Rodrigo Tavares Goncalves de Sousa: Thank you for your question, Guilherme. I'm going to talk about depreciation first, and then Bruno talks about the KPIs. As we mentioned, December was month of adjustment, we saw more volume and price in January and February. As Nora mentioned, for the short term, we understand that it's a little bit more stable, both in volume and price. When we think about the rest of the year, two forces contributing positive and one negative will interact. The first is price increase of new cars. On the first day of the year, we saw a public increase of 3% to 4% in new cars. There's still a lot of inventory, so it wasn't reflected in the market price yet, but it can happen. At these prices reflect in practice prices and have an effect in the Seminovos and used cars. On the other hand, you have credit -- eventual credit restriction that could affect demand putting a negative pressure in the market. So the year starts within normalcy, but it's early to say how this will behave throughout the year. We have to continue monitoring to understand these effects and see if we have to take any action to adjust our depreciation. Now I'm going to pass it to Bruno to talk about Seminovos.
Bruno Sebastian Lasansky: Thank you, Guilherme for your second question. When we think about Seminovos, we've been talking about the scaling Seminovos to rejuvenate the fleet with efficiencies. There are three pillars. The first, increased sales per store. The second is expand new stores and routes and wholesale and expand channels. As you've been -- as you saw, we had success, more than doubled our sales two years expanding with efficiency in the number of stores in the last quarter, which will continue to help scale sales in 2025. But the indicators that we look at, we look at efficiency and also the customer indicators. So in terms of efficiency, we follow -- we obtained with the car sale compared to the new cars. We also look at indicators that are -- what makes this sale feasible like availability and cost of credit as well as efficiency in terms of cost per car sold and how fast we can turn over our fleet. So we see this in Seminovos and we follow closely the indicators, delight of our customers to repurchase purchase again and recommendation for future purchases.
Guilherme Mendes: Okay, very clear. Thank you very much Rodrigo and Bruno. Have a great afternoon.
Operator: Our next question is from Mr. Lucas Marquiori from BTG Pactual. Mr. Lucas, you have the floor.
Lucas Marquiori: Thank you. Good afternoon. Thank you for the call. Rodrigo, in the volume of demobilization of Seminovos -- you mentioned credit. You don't know if it's going to be down or slowed down the fleet rejuvenation. What is the range? If you're speeding up or slowing down car demobilization to know what is the target you're using for the year? The second point in a scenario of slowing down of fleet rejuvenation, what could you unlock in terms of cash or leverage stopping to buy cars, what is the leverage you're aiming at? Maybe reducing purchases of cars.
Bruno Sebastian Lasansky: Thank you, Lucas. I'm going to answer the first question a little bit more conceptually. If you look at the number of cars that we have at rent-a-cars, and our inventory of fleet, putting in the cycle of 15 months, we would need to sell 340,000, 350,000 cars per year to achieve a constant volume considering our volume of rent-a-car and our fleet. To achieve our ideal cycle, we need 15 months of rent-a-car and fleet, it varies according to contracts but around 34, 35 months. That volume of 340,000 to 350,000 would be the target to find a balance at the company. If we see something around 28,000, 29,000 cars, we would reach this equilibrium. This said, as I mentioned, there are many variables involved in credit. So if we need a trade-off, maybe that volume will be a little bit lower than that figure. But once again, we don't expect aging the fleet, but a delay in rejuvenating the fleet. About cash, you're right. In a scenario in which volume grows less or stagnant the company is cash generator. When you look at our levels of leverage, especially to one for the net debt over EBITDA, you will see a gradual conversion and this number should be close to lower in terms of net debt over EBITDA. If it's net debt over the value of the fleet at the beginning of the year has a slight increase because you pay the automakers, so you reduce your accounts payable, which has a short-term effect in your ratio of net debt over fleet and it reduces throughout the year in cash generation and is below what we closed in 2024.
Lucas Marquiori: Okay, Rodrigo. Thank you.
Operator: Our next question is Jens Spiess from Morgan Stanley. Jens, you can proceed.
Jens Spiess: Yes, hello. Thank you for taking my question. I will do it in English. So I just want to ask how much do you expect or are targeting to increase rental rates for each of the division this year versus last year? And also, if -- do you plan to introduce a formal depreciation guidance for upcoming quarters at some point? Because I think it has been quite instrumental to have like both the depreciation guidance and your price expectations, I'd like to finetune numbers in general. So just, yes, as that? Thanks.
Bruno Sebastian Lasansky: Hi, Jens. Thank you for your question. I'll start with the second one, [indiscernible] I'm going to start with your second question, it's easier. We don't intend to come through despite the depreciation guidance, we did one for three quarters and then an adjustment in the third quarter where you have high volatility of expectations. And since Localiza's policy was never to give guidances -- go over guidance as we go back to our policy, we won't have any guidance for the rest of the year. About recompensation, with the increase of interest rates expectation, this has to be repassed to our rates. In general, every cent bps equals to an increase of tariff. When you saw what happened in the last quarter of 2024, we had an increase of expectation of future interest of 50 to 300 bps. So we need to readjust the profitability and rates but also to offset this increase in costs.
Jens Spiess: Perfect, thank you.
Operator: Our next question from Mr. Victor from Bradesco BBI. Victor, you may proceed.
Victor Mizusaki: Good afternoon. Two questions, a follow-up on our side. The first about excluding the activation of your users vehicles. If you could confirm how much is the increase of freight. Now in the fourth quarter for this effect? And second, about depreciation. When we look at the guidance of the third and fourth quarter, now for the first quarter 2025, we see the range -- and what was reported and since January and February this scenarios were in line with the company's expectations. Can we expect something closer -- of the middle of the guidance for the quarter 6,800, 7,000?
Bruno Sebastian Lasansky: Thank you, Victor. Year-over-year, the lightweight and subscription segments grew 10 average as a reference. About the guidance, just to add for this first point, sorry, Nora, it's very important to look at the information, understand the portfolio of fleet management. We have about 31,000 vehicles in the segment of severe use. And all the others are light and subscription cars that has an annual growth of 32%, which shows that within this portfolio, we have a very healthy majority with good profitability, good origination, and it's important to interpret that. When we look at the growth and total evolution of the volume and revenue in the business. I would like to highlight this point, so we can have more visibility of what this division is like and our plan to continue to have these two dynamics on the one hand, continue to allocate capital with discipline and good profitability segments with good generation of value, continue to discontinue or close the contracts as they get to the end of the cycle, those that have lower profitability. Now I would pass to Rodrigo.
Rodrigo Tavares Goncalves de Sousa: Victor, as we mentioned, December we had something different than other months, then January and February more stability. But when we look at the quarter, we're talking about the top of the guidance, not the middle of the guidance. We're still adjusting especially the effects that took place at the end of the year. So the current expectation with the information we currently have, we don't know if this scenario of stability will continue. It's going to change, it's going to be better. The price of new cars will start to affect positively the price of used cars. But now it's more looking to the top of the guidance in the middle of the guidance.
Victor Mizusaki: Okay, thank you.
Operator: Our next question, Mr. Bruno Amorim from Goldman Sachs. Mr. Bruno, you may proceed.
Bruno Amorim: Good afternoon. Thank you for taking my question. First question is a follow-up about the elasticity of demand, you're going to a growth rate close to flat in volume. And I imagine that the more discretionary segments are shrinking and those segments like Bruno mentioned in which the alternative is to purchase the car might be responding better to price increases. Do you see this shrinkage in the segments more related to leisure and car rental and those segments in which the car purchase is increasing. Just to see if the evidence corroborates with this theory. The second question is about the company's future buybacks. The share prices are much lower than they were. So it probably makes sense to buy back shares, but the interest rates are high, managing the balance sheet. How do you think about this trade-off. And lastly, Rodrigo mentioned about a sustainable and; recurring level of selling vehicles about 350,000 cars. Should we expect, see the company converging towards that level and then the average age of the car being lower, does it make sense that it will go a little bit beyond sell even more to reduce the average age and stabilize in 350,000 later?
Bruno Sebastian Lasansky: Thank you, Bruno, for your question. About your first question. As I mentioned, we are seeing a resilient demand in those segments that you call discretionary, like leisure, as well as the monthly rentals for individuals and even app drivers. And we see a little bit more accommodation in the corporate segments. As of the first, second quarter of last year. Because of the macro-economical landscape, the companies are reevaluating or postponing their projects. We also see a clear determination of the company to continue to reconstitute the price. It's important to remember that the company learned to do these repasses and increases, price adjustments gradually working with the customers in order to continue our relationship and continue the business. And more specifically, in the corporate segments that we see this accommodation than the segments that you mentioned and call discretionary. And to conclude, it's important to take a step back also. And remember that we're talking about segments that have a very large addressable market still. So once we achieve the price levels that Rodrigo mentioned, we need to reconstitute the profitability, which is our goal. We still have a lot of space to grow in the various segments that we mentioned. I will pass to Rodrigo for him to complement my answer.
Rodrigo Tavares Goncalves de Sousa: Bruno, thank you for your questions. I would like to address the two additional questions and using what Lasansky just answered. With greater stability of volumes, the company goes back to its focus on cost efficiency, and a relevant cost efficiency. When you're growing strongly, you have many activities and you generate a natural inefficiency in some processes. When you have greater stability that also part of the company's focus to gain efficiency and review all our processes. And we expect this to contribute to generate profitability to the business, even reducing the need to repass the prices that we still need to do. About the two questions of buyback. We bought about R$800 million in our shares. And the company is always looking at buyback as a possible capital allocation. Since we have a more robust cash generation, we can always allocate this capital if they're buying more cars, reducing our debt or increasing the payout in terms of buyback. If the company sees that as interesting investment, we do that, but we do that currently without it being a policy. It's something we always look at. About the Seminovos. Just to make it clear, when I mentioned 350,000 cars, I was talking about the level that we need to achieve to get an optimized cycle of cars for Rent A Car and fleet. I would like to make clear that we're not at that level of 350,000 cars per year. We expect that at some point, we achieved that. And it depends on macro conditions, what the company is not willing to do is to speed up reaching those 350,000 cars more aggressively in terms of price. We will respect market demand and coordinate their fleet rejuvenation with the scenario that we're facing.
Bruno Amorim: Thank you. Just a follow-up to see if I understood, when you normalize the average car age the company has to sell 350,000 cars per year. Is that…?
Rodrigo Tavares Goncalves de Sousa: Yes, that's correct. But once again, we're talking about a constant fleet. If the company grows again, that level will change. But Localiza today, if they don't grow their fleet at achieving 340 -- 350,000 vehicles sold, we would stabilize car sales in a 15 months for car rental and 34 months for fleet. So that's the figure for the steady state. And to do that, the company has to make more efforts to sell more cars to normalize the average age, or will that converge naturally. If we sell more, we converge quicker, but achieving that level, we can reach that throughout the year.
Bruno Amorim: Okay. Thank you.
Operator: Our next question from Rogerio Araujo from Bank of America. Mr. Rogerio, you may proceed.
Rogerio Araujo: Good afternoon, Bruno, Rodrigo, and Nora. Thank you for taking my question. I have two as well. First, I would like to explore the superior use segment. If you could talk about the expected time to end the contracts and sell the assets that are still in the fleet, the 30,000 cars. And just to confirm my understanding. You increase volume and price, right. Can we understand that instead of growing 5% year-over-year, it would be 15%. And if you could comment if we can use that as an expectation for when you finish selling those vehicles if that increase of growth? I can ask the second question after.
Nora Lanari: Rogerio your question isn't clear, because your audio was a bit choppy.
Rodrigo Tavares Goncalves de Sousa: I can help.
Nora Lanari: I'll answer, Rodrigo if you need, you can complement. First about the timing, these contracts are three years on average. So we started the demobilization process last year, and this should take some time to happen. We have about 30,000 vehicles at the end of the period that we will discontinue. So the process will respect the expiration date of these contracts for the next two years. About growth, we commented on the previous answer that if we look back, we exclude the effects of severe use segment. The company would have a 30% growth in revenue, which is half price half volume. We're not giving guidance. We don't have the practice of guidance. So we're not having the guidance going forward. We have to take into consideration a few things. First, is a macroeconomic scenario that tends to worsen going forward, which would reduce the appetite of large fleet as Bruno said, but given the better affordability of vehicles, we have other customers going into the base for subscription or third-party fleets. Since the price the finance also increased. But it's not the run rate that we find for going forward. Our main focus is to reconstitute profitability, and the trade-off is very clear for us.
Rogerio Araujo: Okay. Thank you, Nora. It was very clear. The second question for Seminovos. If you could give us more details on how October and November and December were in terms of margin. If we can better understand a normalized market? How much cushion do we have in margin?
Rodrigo Tavares Goncalves de Sousa: Thank you, Rogerio. Talking about price volume, we see October with strong volumes and the market accommodating a little bit below the 50 vehicles that we were expecting. November was in line with our expectation. We see some macroeconomic effects at the end of November with the change of expectation. When we look at December, without talking specifically about Localiza, I've talked to several colleagues from the market. It was a month for the economy in general, retail, industrial production these are activity markers. We had two effects. First, December, the volume was below what was expected, even considering that it's a month with vacation, holidays and the price elasticity was higher, especially for those cars, model year 2024. When you look at model cars, year '21, '22. That went back to normal, '24 specifically in December. January and February we recovered the volume and stability in prices. And several of these model vehicles -- year model vehicles. I know that I wasn't specific about margins, but I just wanted to give you more flavor of how the price and volume evolved throughout the last fourth quarter.
Bruno Sebastian Lasansky: If I could add, Rogerio. In terms of margin, it has to be clear that we expected margin accommodation in the fourth quarter -- quarter-over-quarter because of the impairment that we did in the second quarter, that had a positive effect in the book value of the cars in the third quarter. Rodrigo had signaled that the margin in Seminovos wasn't expected. The lower volume in December vis-à-vis our expectation does get in the way of fixed cost, but it doesn't have that much of effect if the margin of the fourth quarter Seminovos we expand the network of Seminovos to increase sales volume. We think that the volume in January and February are strong and can help to dilute fixed costs, but we also want to expand channels, especially for a more restricted credit scenario.
Rodrigo Tavares Goncalves de Sousa: It's important to mention Nora, about the dynamic of the first quarter. It's usually stronger in the wholesale than retail segment. A lot of retailers reduce their inventory, so don't haven't paid the vehicle taxes in the beginning of the year, they resume purchasing to replenish their inventory. So you have an effect in the first quarter, which is increase in wholesale that is stronger than retail because of the seasonal issue.
Rogerio Araujo: Very clear. Can I just very quick last one about -- of the R$91 billion, about 34% above historical levels. How much of this was in trucks?
Bruno Sebastian Lasansky: Thank you. I think it's an important point for this quarter. Let me be very specific. We have the macro issue and then macro sectorial issue. What happened in the first quarter was specific for the sector. Some customers, especially the agribusiness, they are going through restructuring financial restructuring, and that led to bad debt, especially for heavy vehicles. And in lower level fleet management and even less for Rent A Car. So we have the effect of this segment associated to the Agri business. So it was something generic. It was very specific. This effect will still have some lasting effects in the first quarter, but it was specific for those customers of the Agri business industry and more focus on the heavy use vehicles. It's also starting to stabilize and get better. This said, we have the macro economy and interest rate increase. And we didn't see any effect yet of this. So it was specific of a subsegment that impacted, more specifically heavy vehicles. A little bit in fleet management and even less spread apart. We will still see the effects in the first quarter, but we think this is already at its end, and it will be stabilized by the end of the quarter.
Rogerio Araujo: Very clear. Thank you.
Nora Lanari: We're almost at the end. We have a question from [indiscernible], that is important to answer. 55% -- 25% of fleet reduction was all in heavy-duty vehicles. The heavy vehicle segment is specific. These are usually Agri business or light vehicles that have more secure use. So the answer is no. The reduction of fleet in heavy-duty severe use is a company's strategic decision to reduce those contracts with lower ROIC spread.
Operator: And to conclude Marco has a question in English. If the purchase and sales ratio was improving? How much this improvement has to do with the change of mix of the purchase and sales car?
Bruno Sebastian Lasansky: The mix of purchase is already stable. Can you answer Rodrigo.
Rodrigo Tavares Goncalves de Sousa: Yes. We have to split what we're talking about in the mix. It's expected to have an improvement of the mix. But in the model, the fleet rejuvenation you start selling a higher proportion of cars that are one-year-old and cars that are two- and three-year-old. With this, the spread of purchase and sales improve like we saw and as we mentioned before, a strong reduction in maintenance costs. That's also an effect of rejuvenating the fleet that we have in our fleet. So if it was the mix of models, sell more as you SUVs and buy more 1.0 cars, the answer is no. It's a better of a mix of year models, a newer car that is aligned with our strategy.
Operator: With this, we conclude our results conference call, and Bruno will say his closing comments.
Bruno Sebastian Lasansky: Thank you for your presence and for your questions. Also, I would like to acknowledge the dedication and engagement of our team of employees for the results high rate that our RI team is here to answer any additional questions. Thank you very much.
Operator: This conference call is over. Please disconnect your devices.